Operator: Greetings, and welcome to the Olympic Steel 2025 First Quarter Financial Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. At this time, I would like to hand the conference call over to Rich Manson, Chief Financial Officer at Olympic Steel. Please go ahead, sir.
Richard Manson: Thank you, operator. Welcome to Olympic Steel's earnings call for the first quarter of 2025. Our call this morning will be hosted by our Chief Executive Officer, Rick Marabito; and we will also be joined by our President and Chief Operating Officer, Andrew Greiff. Before we begin, I have a few reminders. Some statements made on today's call will be predictive and are intended to be made as forward-looking within the safe harbor provisions of the Private Securities Litigation Reform Act of 1995 and may not reflect actual results. The company does not undertake to update such statements, changes in assumptions or changes in other factors affecting such forward-looking statements. Important assumptions, risks, uncertainties and other factors that could cause actual results to differ materially are set forth in the company's reports on Forms 10-K and 10-Q and the press releases filed with the Securities and Exchange Commission. During today's discussion, we may refer to adjusted net income per diluted share, EBITDA and adjusted EBITDA, which are all non-GAAP financial measures. A reconciliation of these non-GAAP measures to the most directly comparable GAAP financial measures is provided in the press release that was issued last night and can be found on our website. Today's live broadcast will be archived and available for replay on Olympic Steel's website. At this time, I'll turn the call over to Rick.
Rick Marabito: Thank you, Rich, and good morning, everyone. Thank you for joining us today to discuss Olympic Steel's 2025 first quarter results. I'll begin with a summary of our first quarter earnings results, including our strong shipping start to the year despite a challenging macro environment for the steel industry. Then Andrew will review our segment performance. And following that, Rich will discuss our financial results in more detail. And then, as always, we will open up the call for your questions. So we've talked a lot in recent years about our strategy to build a stronger, more resilient Olympic Steel, one that is positioned to deliver profitable results in any environment. Our first quarter performance during a challenging time for the metals industry reflects the success of these efforts and reinforces our strategy as we move forward. We reported strong shipments and first quarter sales of $493 million with net income of $2.5 million. All three of our business segments continued to deliver positive EBITDA. Our flat-rolled shipping volumes were up 24% sequentially and 6% over the prior year, hitting their highest levels since the third quarter of 2021, which was also the height of the post-COVID pricing and demand market. We really saw an increase in demand about halfway through the quarter as customers reacted to the announced 25% steel and aluminum tariffs and contemplated the impact of potential reciprocal tariffs. Andrew will talk more about this in a few moments. We continue to execute on our strategy to grow profitably by diversifying into metal-intensive end markets, expanding our fabrication capabilities and focusing on a richer mix of higher-margin metal products. Our commitment to M&A to bolster these areas has proven to be very effective. Our most recent acquisition, MetalWorks completed in late 2024, is off to an excellent start. As expected, it has been immediately accretive to our results. Building on our successful track record of completing eight acquisitions over the past seven years, we remain committed to M&A as an ongoing source of growth for Olympic Steel. We are also committed to making key organic growth investments in our operations that will enhance throughput and safety, and Andrew will detail more about that in a few minutes. At the same time, we've demonstrated our operational discipline by staying focused on what we can control. We are closely managing our working capital and improved our inventory turns as we weather uncertain markets. These efforts drove strong operating cash flow during the quarter, which resulted in a $37 million reduction in our debt. In addition, last week, we announced the five year extension of our $625 million asset-based revolving credit facility. This will continue to provide us with the flexible low-cost capital to fund our continued growth, both organically and through acquisition. While tariffs have dominated the macroeconomic conversation, Olympic Steel is well positioned to support increased manufacturing in the United States. Over 90% of our metal supply and almost all of our sales are domestically based, and our fabrication capabilities provide an excellent solution for OEMs looking to onshore, outsource or simply expand their first stage of manufacturing in the United States. And our long-standing strong relationships with our domestic mills are also a real benefit in the current tariff environment. As we look ahead, we believe strongly in the Olympic Steel that we have been building. We remain confident in our ability to continue to drive profitable growth, regardless of market conditions. I'll now turn the call over to Andrew.
Andrew Greiff: Thank you, Rick, and good morning, everyone. This certainly has been an interesting time for the steel industry with a number of dynamics shaping our current environment, most notably the tariffs on steel and aluminum imports. After the initial announcement of 25% steel and aluminum tariffs in January, hot-rolled pricing escalated quickly, increasing more than 30% during the quarter. As customers scramble to digest the news, spot orders increased significantly. During the first quarter of 2025, Olympic Steel had its strongest flat-rolled shipping volume since the third quarter of 2021, which was the peak of post-COVID demand. And as you may recall, we still owned our former Detroit facility back then. Increased shipping levels, along with our end products businesses, drove strong performance in our carbon segment with EBITDA of $10.9 million. In addition, continued growth in our coated carbon steel product line, a higher-margin product had a positive impact on performance. Also of note, we were recognized as a partner-level supplier for 2024 in the John Deere Achieving Excellence program. This is John Deere's highest supplier rating. We are incredibly proud to receive this recognition from our longtime customer and respected global OEM. Congratulations to our entire team on this great achievement. The Pipe and Tube market, which typically lags our carbon performance by three to six months, experienced slower OEM orders similar to what the carbon market experienced during the second half of 2024. However, the segment still delivered EBITDA of $6.4 million. We are confident the team's focus on sales growth, margin improvement and fabricated product expansion will continue to drive positive results for this business. The Specialty Metals segment, despite continually falling nickel surcharges had a solid quarter, reporting EBITDA of $3.6 million. We continue to invest in the growth and expansion of specialty metals. In March, we opened our new facility in Houston, the 105,000 square foot facility will increase the action stainless Houston operations footprint by an additional 73,000 square feet, expanding our distribution and fabrication capabilities in the Southwest. Our other planned capital investments remain on track with most expected to become operational later this year or in early 2026. These include a new cut-to-length line at our Minneapolis coil facility to support our growing coated business, a new high-speed light gauge narrow width specialty metal slitter to expand our Berlin Metals unique slitting capacity outside Chicago, a new white metals cut-to-length line in Schaumburg, Illinois in the automation of our Chambersburg fabrication operation. These investments will continue to expand our capacity and enhance our safety and drive efficiency in targeted growth areas of our business. As Rick said earlier, we have built a more resilient Olympic Steel and we are confident in our strategy and position in the market. As always, we will continue to control what we can control, while many market inputs in macroeconomic variables will no doubt continue to change. We strongly believe the combination of these efforts keep us well positioned to continue to grow and deliver profitable results under all market conditions. Now I'll turn the call over to Rich.
Richard Manson: Thank you, Andrew. As you have heard from Rick and Andrew, our team did an excellent job in the first quarter to navigate macroeconomic headwinds to deliver solid performance for the start of the year. Before I discuss the results in more detail, I want to remind you that comparisons are impacted by the November 2024 acquisition of MetalWorks, whose results are included in the Carbon segment. For the first quarter, net income totaled $2.5 million compared with $8.7 million in the first quarter of 2024. EBITDA in the first quarter was $16.1 million compared with $23.3 million in the prior year period. There was no LIFO adjustment in the first quarter of 2025 compared with $400,000 of LIFO expense in the first quarter of 2024. Consolidated operating expenses for the first quarter totaled $110.6 million compared with $103.2 million in the first quarter of 2024. Our first quarter 2025 operating expenses reflect the addition of MetalWorks, which does not report tons sold. Therefore, operating expenses per ton at the consolidated level and for the Carbon segment will appear higher year-over-year. As a reminder, we do not report tons sold from McCullough Industries, EZ Dumper, Metal-Fab, Shaw Stainless or the entire Pipe and Tube segment. Consolidated operating expenses for the first quarter included operating expenses associated with shipping 6% more volume year-over-year, $2.5 million of MetalWorks operating and acquisition-related expenses and $0.5 million of lower incentive expenses when compared with the first quarter of 2024. Our team's excellent working capital management drove strong operating cash flow, which enabled us to pay down debt by $37 million since year-end, lowering our total debt to $235 million at the end of the first quarter. On April 22, we announced a five year extension of our $625 million asset-based revolving credit facility. Immediately after the extension, we had approximately $269 million of availability under the facility, providing us with an excellent source of flexible, low-cost capital to fund strategic growth initiatives. Our capital expenditures totaled $8.8 million in the first quarter of 2025 compared to depreciation of $6.5 million. We estimate that 2025 capital expenditures will be approximately $35 million as we continue to invest in automation and other growth initiatives that Andrew mentioned earlier. Our first quarter 2025 effective tax rate was 30.1% compared to 27% in the same period last year. We expect our 2025 tax rate to approximate 28%. In addition, we paid a quarterly dividend of $0.16 per share in the first quarter. Our Board of Directors approved our next regular quarterly cash dividend of $0.16 per share, which is payable on June 16, 2025, to shareholders of record on June 2, 2025. The company has now paid regular quarterly dividends dating back to 2006. Before we open the call for your questions, I would like to thank the entire Olympic Steel team for all their efforts in the first quarter. It's because of the team's hard work and dedication that Olympic Steel remains in a strong operational and financial position and is equipped to manage through a challenging market environment, while continuing to advance our strategy. Operator, we are now ready for questions.
Operator: [Operator Instructions] Thank you. Our first question is from Samuel McKinney with KeyBanc Capital Markets.
Samuel McKinney: Hey, good morning, guys.
Rick Marabito: Good morning, Sam.
Samuel McKinney: Starting in carbon flat, volumes were up about 25% versus the fourth quarter. It's well ahead of your normal seasonality and the MSCI figures. We've been hearing a lot about pull-forward demand during this earnings cycle. And I was curious if you could frame up how much of that first quarter volume boost has to do with that?
Andrew Greiff: Yes, Sam, this is Andrew. I would say a lot of it. So traditionally, our sales are, call it, 65-35 from a contract versus spot. It was stronger this quarter on the spot side of it. So we certainly saw some great activity and some pull ahead relatively early in the quarter, and it really helped propel the strength of the carbon sales.
Rick Marabito: Yes. And I'd say, Sam, it's Rick. The other, I guess, way to look at it is typically, and I think, Rich, you calculate the number. But typically, seasonally, fourth quarter to first quarter were [Multiple Speakers] 10% to 12% up. That would kind of be a normal increase. So certainly, we lapped that, we doubled it. And as Andrew said, a big piece of that extra was certainly in the spot business.
Samuel McKinney: Understood. And then I know first quarter tends to be the strongest revenue quarter for Pipe and Tube given the rebates. Are you expecting that to hold true this year off the $77 million baseline you set in the first quarter? Or could we see some improvement as the year progresses?
Richard Manson: Yes, Sam. So the Pipe and Tube segment didn't -- certainly didn't see the same bump up in sales that the Carbon segment saw. And that's primarily because they're more contractual based than spot based. And so, as Andrew walked you through the increase in spot sales, you didn't see that in the Pipe and Tube segment. I think what they're seeing is kind of the continued malaise that we saw in the back half of 2024 for the Carbon segment for OEMs, and keep in mind, they basically lag three to six months. And so right now, what we're seeing, I think the pipe and tube segment going into Q2 looks a lot like Q1.
Samuel McKinney: Okay. And then last one for me. Given your five year extension on that ABL, just talk us through your current appetite for M&A. I mean, potential areas you're looking to bolster. And how does the marketplace look now compared to prior recent periods?
Rick Marabito: Yes. It's Rick, Sam. Great question. Certainly, M&A continues to be one of the key pieces of our strategic growth for Olympic. We've talked a lot about that. That certainly remains. We're active looking. You are right. I think last call we had, I probably commented that we saw some of the inflow of the pipeline in terms of candidates slow. Certainly, that kind of continued through the first quarter. But I'd tell you, in April, we've started to see a return of potential sellers and candidates who are really interested in dialoguing. So it's going to continue to be -- you see our track record. We've done eight in seven years. So it's going to continue to be a big piece of our growth strategy going forward. We'd anticipate really continuing on the pace that you've seen us do over the last five to seven years.
Samuel McKinney: Okay. Would you be disappointed if you didn't get a deal done this year?
Rick Marabito: You like repeating that line I use. Yes, I would. I think -- certainly, I think we're trying to do at least one a year and have been successful doing that. And I don't see why we wouldn't continue at that pace.
Samuel McKinney: Okay. Thanks, guys. Good luck.
Rick Marabito: Thanks, Sam.
Operator: Our next question is from Dave Storms with Stonegate.
David Storms: Hey, good morning, everyone. Thanks for taking the questions. I wanted to circle back to Pipe and Tube and maybe a sense of what the outlook might be beyond 2Q. You mentioned obviously that it lags. But are you seeing buying patterns that might indicate more of a muted response relative to carbon flats? Or do you think it will be more of a trapped and slingshot situation where the market realizes that they need to kind of get ahead of some of those?
Andrew Greiff: No, I think we'll see a more traditional year for Pipe and Tube. I think the area that we will see continued opportunity is going to be onshoring opportunities. So a couple of areas that pipe and tube has been very strong, certainly with data centers. It's a big part of their growth. But really with the onshoring opportunities on both our flat roll and our pipe and tube is really where we expect to see some great opportunities through 2025 and probably beyond, and we're well prepared for it. With CTI and now CTB, we can really service fabrication customers. We've got 20 high-speed sophisticated tube lasers, really positioned well in the Southwest. In our traditional Chicago Tube and Iron facilities, Chicago, Minneapolis, Locus as well as some others are really positioned well in our flat-rolled side of it, the same thing. So we've invested, as you know, a lot in the flat-rolled side of our fabrication. A couple of specific facilities are Buford, Georgia and our Bartlett, Illinois facilities, but also in Bettendorf, in Chambersburg, Mount Sterling on the flat-rolled side, we've put a lot of money into the fabrication and are anticipating as we have seen some great opportunities that we've seen really in the last 30 days for big growth there.
David Storms: That's fantastic color. Thank you. And then just one more for me. Just would love to get your thoughts on your working capital and maybe inventory management to try to cover for the 10% of metal supply, that's not domestic. Any thoughts there would be great.
Richard Manson: Yes. I'll touch the working capital, and then I'll let Andrew talk about the supply base. So Dave, yes, we do -- we did take that down $37 million in Q1, and part of that was taking inventory down. I would expect to see maybe a modest decrease in debt during Q2, but I'm not expecting a whole lot. As we've been talking on these calls, we really expect the large reduction in debt to come in the back half of the year. And we see no reason why by year-end, we couldn't be back down in the low 200s in terms of borrowing on our debt. And so Andrew, I'll let you talk about the supply base.
Andrew Greiff: No. I think the -- our inventories are at appropriate levels. I think as you saw in the MSCI MAR report, a lot of the service centers were sitting with too much inventory coming into 2025. I think we are in a really good position, continue to be into the second quarter and expect that the supply will be relatively stable as we head into the balance of the year. I think we are well positioned because we're -- the majority of our material comes from the domestic supply. So tariffs really are not going to impact us relative to that side of it. And we think that there's fine availability domestically to support our growth.
David Storms: That’s fantastic. Thank you very much and good luck in 2Q
Rick Marabito: Thanks, Dave.
Operator: Our next question is from Chris Sakai with Singular Research.
Joichi Sakai: Yes. Good morning. Just had a question on carbon flat. It looks like operating expenses took a jump up from last year. Was that from acquisitions? And how are you managing that going forward?
Richard Manson: Yes, Chris, really caused by two things: one being the acquisition of MetalWorks. Remember that occurred in November of 2024. So when you're comparing Q1 versus Q1, there's about $2.5 million extra operating expenses that weren't there last year, but associated with a great growth company in MetalWorks. And then we shipped -- quarter-over-quarter, we were 24% up in volume and 6% in volume up year-over-year. And so those tons have to be processed, those tons have to be shipped, and that's really what you're seeing an increase in warehouse and processing, and then an increase in distribution expense associated with that volume growth. And we continue to monitor our expenses on a same-store basis. What we continue to see is our inflation adjusting for volume is essentially in the low single digits as far as inflation goes, say, 1% to 2%, and that's after giving people a 3% [indiscernible] raise at the beginning of the year. So we think the operating expenses on a same-store basis continue to be managed very well.
Joichi Sakai: Okay. Thanks for that. And then with all the tariff talk, how is that affecting your M&A strategy? Is it hurting it or helping it?
Rick Marabito: I'd tell you really not an impact directly. We are domestic based. All of our acquisitions have been in the U.S. At this point, we're not really looking at foreign acquisitions. What I would tell you is the tariff impact really has a greater impact on our fabricating business, and Andrew talked about that. I mean, we are exceptionally well prepared should the big bet that this administration is doing on bringing back manufacturing to the United States actually takes place. We're exceptionally positioned to take advantage of that. So I think from an M&A front, you'll continue to see us do what we've done in the past, which is find service center distribution businesses that are very successful. And then just as importantly, continue to buy end manufacturing companies. So really, the tariff impact, I'd tell you has more of a -- I think, more of an impact on the core business going forward than really an impact on M&A. And as I stated earlier, I think there was a little trepidation as the year started in terms of the capital markets and M&A, and that's probably why we saw a little bit of a slow -- slowdown in the pipeline. But I think as companies are getting a little more used to and you hate to say used to the changes out of D.C. But I think people are getting a little more comfortable and we're seeing more -- certainly more companies come into the pipeline.
Joichi Sakai: Do you think that the tariffs will increase competition for acquisitions?
Rick Marabito: Yes, I do. I mean, I think if this plays out as planned, and we continue to build our manufacturing base in the United States, I could certainly see some others choosing to grow more quickly through an M&A route versus a capital expenditure investment route. So I think that's sort of one stream where you may see M&A increase.
Joichi Sakai: Okay. Great. Thanks.
Rick Marabito: Thank you.
Operator: Thank you. There are no further questions at this time. I'd like to hand the floor back over to Richard Marabito for any closing comments.
Rick Marabito: Thank you, operator, and thank you, everyone, for joining us today on our call. We certainly appreciate your continued interest in Olympic Steel and look forward to speaking with you again next quarter. Have a great day, everyone. Bye-bye.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.